Operator: Good morning, ladies and gentlemen, and welcome to The Trade Desk Fourth Quarter 2021 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode. [Operator instructions] It is now my pleasure to turn the floor over to your host, Chris Toth. Sir, the floor is yours.
Chris Toth: Thank you, operator. Hello, and good afternoon to everyone. Welcome to The Trade Desk fourth quarter 2021 earnings conference call. On the call today are Founder and CEO, Jeff Green; and Chief Financial Officer, Blake Grayson. A copy of our earnings press release can be found on our website at thetradedesk.com in the Investor Relations section. Before we begin, I would like to remind you that except for historical information, some of the discussion and our responses in Q&A may contain forward-looking statements, which are dependent upon certain risks and uncertainties. In particular, our expectations around the impact of the COVID-19 pandemic on our business and results of our operations in addition to potential supply chain disruptions that could disrupt advertising spend are all subject to change. Should any of these risks materialize or should our assumptions prove to be incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements. I encourage you to refer to the risk factors referenced in our press release and included in our most recent SEC filings. In addition to reporting our GAAP financial results, we also present supplemental non-GAAP financial data. A reconciliation of the GAAP to non-GAAP measures can be found in our earnings press release. We believe that providing non-GAAP measures, combined with our GAAP results, provides a more meaningful representation of the company's operational performance. I will now turn the call over to Founder and CEO, Jeff Green. Jeff?
Jeff Green: Thanks, Chris. Good morning and thanks to everyone for joining us today. Q4 2021 was another outstanding quarter for The Trade Desk and an exclamation point on a terrific year. Across the board, we exceeded all our goals for 2021 which culminated in crossing the billion dollar revenue mark, ending the year with $1.2 billion in annual revenue, an increase of 43% year-over-year. Total platform spend was almost $6.2 billion. It's only 10 years ago, May of 2011, when we received our first penny of spend, to think last year we passed $6 billion in spend. It is both astonishing and inspiring. I say that because I truly believe that we are just getting started with our innovation, our amazing team, our unrivaled customer service, and a growing roster of global partnerships, I am convinced that we will continue to outperform in an addressable advertising market that is racing toward a $1 trillion TAM. One aspect of our business in 2021 that was particularly encouraging was the pace at which we signed major customer agreements. As the year progress, we signed an increasing number of long-term commitments with some of the largest brand advertisers in the world. Last year, the Top 25 advertisers on our platform increased their spend on the platform more than 50% compared to the prior-year. And that's before some of these long-term agreements have fully activated. Momentum is also growing due to increased awareness and understanding of our value among brand marketers and their agencies. And I will just spend my time today looking back on the highlights of 2021, but also discuss the factors that are shaping 2022 into what I expect will be the most impactful year, TTD has ever had. I believe this will provide color on why brand marketers are increasingly gravitating to our platform. Looking back on 2021, one of the highlights was the launch of our biggest product ever, Solimar. As you know, we launched Solimar on 7/7, after years of investment. But as with any major platform overhaul, there's always the question of exactly what the impact will be. The answer is that Solimar has been an upgrade to our business in every way. It helps advertisers and agencies embrace completely new ways of thinking about data, measurement, goal setting and campaign optimization. And I'm pleased to report that as of today, the majority of ad impressions on our platform are now bought via Solimar. At the current pace, we expect to deprecate the legacy platform before the fourth quarter of this year. To accomplish a complete transition to the new platform within about a year is an impressive feat by anyone's standards. And it speaks to the value that advertisers are realizing with Solimar. Solimar was created to help advertisers make better data driven decisions at every step of the marketing funnel and in doing so take full advantage of the power of the Open Internet. We wanted to make setup easier and decisions more data driven. We also wanted to make certain that our AI and machine learning product branded as Koa was always on when the benefit was obvious. With a better blend of human and machine, advertisers can apply the right data automatically. And Solimar can optimize everything from predictive clearing to audience targeting to price discovery. Every ad campaign becomes more effective, every ad dollar is working as hard as it can. And as a result, the flywheel spins faster activating even more campaign dollars. Let me share some data about how the move to Solimar is going. First, co-adoption on Solimar is now over 90%, nearly 50% higher than with the legacy platform. Now nearly all of our advertisers are getting richer data driven insights and recommendations on how to reach and measure their target audiences most effectively and across the full scope of channels to optimize performance. In fact, average channel usage for Solimar campaigns has also increased about 50%. With Solimar, advertisers get a better perspective on cross channel performance and insight into how an omni channel campaign can take a consumer through an integrated advertising experience. And finally, and probably one of the most important changes. For those advertisers that have switched to Solimar, the average number of data elements applied to each impression has more than doubled. Many of the amazing results we are seeing from Solimar are due to restructuring of our data marketplace, and the courage of our data partners to try something new in the hopes of upgrading the entire Open Internet. As a result, Solimar is a bit of a twofer one, a better decisioning engine and a better data marketplace. Let me spend a moment on the improved data marketplace as it represents a significant upgrade to how the entire industry currently thinks about data and data pricing. Until now I would describe the marketplace for data in digital advertising is somewhat anemic. And that's largely because of the way that data has traditionally been priced across the web. In Walled Garden, data pricing is opaque with effectively zero price discovery. In the Open Web, historically data pricing has been more fixed than variable, which leaves little room for price discovery or even value discovery is akin to a real estate agent, charging a fixed dollar rate regardless of the value of the home that's been sold. In the case of data that has meant that each data element could be too expensive relative to the value of the impression. This also then becomes an inhibitor to advertisers who want to apply a full scope of data to every impression. But with Solimar and the new data marketplace, we have shifted our data pricing model away from fixed rates toward percentage of CPM. This would never have been possible without the support and commitment of the hundreds of data partners who participate on our platform and who were willing to make this change. This allows for much greater flexibility and data deployment based on both value and relevance. We have created a market where there's more accurate price discovery for data, which is more closely aligned to the value it creates instead of high fixed rates. Additionally, there's another major data marketplace design change that will fully roll out in the first half of '22. This change will address the major obstacle to cure the Open Internet data anemia. Currently, there is a disincentive to layer multiple data elements onto the same impression because the cost is prohibitive and price discovery has been a problem. With variable pricing now universal in our data marketplace, we can now add fractional pricing. This means we can offer for example, a basket of data options for customers that in total doesn't necessarily cost them more, but activates more data sources and pay supplier based on precise value created for the advertiser. In doing so data providers have the opportunity to make more money in aggregate. This creates incentive to use data whenever it adds value, and rewards data companies for the value they create. We expect that this will create the most robust data marketplace ever on the Open Internet. Not only will the Open Internet benefit, but we will be able to layer in more data significantly enriching each ad impression for the advertiser. In total, this increases the use of data. As we enrich each impression, advertisers on our platform become more effective and they invest more. Already our data marketplace changes have been so successful that we have seen advertiser bid win rates increase significantly, because they have been much more precise in understanding the value of each ad impression. Again, this means advertisers are inclined to spend more because they are achieving even better ROI making the flywheel spin faster. Looking back on another highlight from this last year, we blaze new trails in the rapidly emerging world of shopper marketing, another green field that is open to us because of the use of data. As of the fourth quarter, we're up and running with the Walmart DSP with select major advertisers. The initial results have been very encouraging. BIC is one of the early adopters as you probably know BIC is headquartered in France, but is a global leader in consumer products such as ballpoint pens, lighters, and grooming. And Walmart is a major retail partner for them. In December BIC ran holiday campaigns for some key products, including men's and women's razors using the new Walmart DSP. The results were even better than we hoped for. BIC achieved return on ad spend or ROAS of just under 500%. That means for every advertising dollar, they drove $5 in consumer purchases. This data is significant for a few reasons. First, with closed loop measurement, BIC is able to get a very rapid assessment of ROAS, the shopper data available in the Walmart DSP makes it much easier for brands like BIC to make the connection between campaign spend, and consumer purchase. And second ROAS of 500% is well above the industry average. According to Nielsen, a good ROAS as is around 270%. So to take an industry standard benchmark and almost double it is pretty staggering. Matt De Paolo is BIC Senior Manager of omnichannel growth, and he recently spoke about the power of the Walmart DSP. To quote him directly, he said, I don't want to overstate it. But this is something the industry has been waiting for, for a very long time. And now we finally have at our disposal, we had suspected that The Trade Desk would be a powerful complement to Walmart's capabilities, and this validated our suspicions. This represents the sentiment of many advertisers. They want retail data to help them improve and their ad spend in digital. They want to better understand how media moves people through the purchase journey. I firmly believe that 2022 will be the year that advertisers start to realize the power of shopper marketing. Walmart is leading the charge here. Amy Lanzi is the Commerce Practice Lead at Publicis for North America. She recently spoke with The Current, our online news site about how the Walmart DSP is capturing the attention of CMOs, who previously weren't as hands on with the retailers. To quote her directly, she said it used to be that you would negotiate how you've got a better display in a physical store now is a dynamic conversation that includes their digital shelves, and how brands can reach Walmart shoppers who are outside the retailers ecosystem. In the coming quarters, I'll have more to say about how we're partnering with other retailers in innovative ways to unlock the power of shopper marketing data for advertisers. As I mentioned, this is just one of the areas where brand marketing leaders are gaining a greater appreciation of the value of programmatic. When looking back on the amazing success and land grab year that was 2021, it is impossible to not spend some time talking about the rise of CTV. In 2021, CTV was once again the largest driver of spend on our platform. Last year, more than 15,000 advertisers spent on CTV on our platform, and we saw the number of advertisers that spent over $1 million in CTV, almost double compared to 2020. And I highlight, CTV again, because it is such an important driver of the brand shift to programmatic more broadly. For most brands TV is the largest element of their advertising campaigns. The TV team is often the power center of our brand marketing department as TV digitizes, thanks to the massive consumer shift to streaming, advertisers are embracing the power of programmatic in their most significant channel. Once TV advertisers realize its potential to focus rapidly shifts to the value of programmatic in an omnichannel context. And this is what I mean when I said in the past, that CTV is probably the most important driver of change across digital advertising. Of course, it is not just the consumer shift that's driving advertisers to embrace CTV. TV content companies are also evolving their models at warp speed, and we continue to partner with all of the major CTV providers worldwide. Each year, the inventory avails on our platform continue to rapidly increase. And as we enter this year's upfront season, I expect we'll continue to see large TV companies further prioritize CTV as a part of that process. Indeed, The Trade Desk has already been invited to participate in some of the digital upfront program this year. And while we've talked a lot in recent quarters about partnerships with major TV content companies in North America and Europe, the same dynamic is happening now in Asia, where viewers are also rapidly shifting to CTV, or OTT. For example, we recently launched with GYAO!, one of the fastest growing streaming platforms in Japan. Regardless of location, major brand advertisers increasingly realized the vital role that CTV plays in reaching audiences that have left or were never present on linear TV. We recently ran a campaign for one of Europe's top carmakers Renault in Spain, working with our agency, Omnicom. That campaign focused on a launch of a new SUV in Spain and Renault wanted to reach as many potentially interested car buyers as possible. With CTV, Renault achieved a significant double-digit incremental reach over linear, we're seeing the same phenomenon with brand advertisers around the world. They're embracing CTV as an essential element of their massive TV ad campaigns. And because of the outsized effect that TV has on most marketing departments, this growing adoption spins the flywheel faster for us across all advertising channels. Now switching gears a bit, I'd like to talk about the future and why 2022 is set up to be our biggest year ever, not just in financial performance, but also in strategic leadership, and increasing our market share. Yesterday, we announced another very big initiative, OpenPath. This is the biggest direct step we've made yet to improve the supply chain for our clients, us and the Open Internet. Let me take a moment to explain what this is, OpenPath is a product that enables content owners from TV and across the web to plug in to CTV directly. OpenPath is a direct pipeline to publisher inventory for any publisher that chooses to integrate directly with us. An inefficient supply chain is bad for advertisers and for publishers. We're very pleased to launch OpenPath with some of the largest journalistic publishers in the world, including The Washington Post, Conde Nast, Reuters, the Tribune, and USA Today. OpenPath is especially helpful for larger publishers and content owners that want to do their own yield management. We're not competing with SSPs or becoming an ad network, we represent the advertisers in the auction. Our goal in creating this product is to provide a high bid directly to publishers and content owners who want to do their own yield management. One of our core operating principles since our inception is the pursuit of a level playing field for digital advertising with transparency on all sides. We believe that's the best way to build trust in digital advertising, which will drive overall market growth and we also believe that on a level playing field, everyone gets to compete fairly on the value they provide. As a demand side platform, we're confident that on a level playing field, we will continue to outperform and gain more market share of the growing TAM. With this product launch, we also announced that we are no longer buying from Google so called Open Bidding or OB product. You may recall that Open Bidding is one of the main focus areas of recent antitrust lawsuits against Google, including the one from the Texas State Attorney General's Office. With this and as part of our ongoing supply chain optimization initiatives, we will continue to prune supply paths that are opaque, unfair or inefficient. That said, we plan to continue to buy on Google's Ad Exchange. Where all the SFPs that provide yield optimization for publishers, we expect that this product and policy change will result in more spend to them. You might be interested as to why we started with journalism in terms of our initial partners. Journalism has more stake than perhaps any other market segment here. Journalism relies on advertising. And the ad model for newspapers of 30 years ago has evolved into something very different today. It's vital that we preserve the value exchange of advertising for journalism content, because journalism is such an important factor in the free flow of trusted information in any functioning society. But OpenPath will scale to any publisher that wants a direct path to our demand. Let me just reiterate that this does not mean that The Trade Desk is getting into the SSP or the supply side business. This is not about that at all. We won't be getting into yield management or any of the various value propositions that a number of the great SSPs provide. Open path is simply a direct path in the inventory. This is something that our advertising clients have been asking us for a long time. And they become more aware of the supply side inefficiencies over the past few months. The impact will be positive for SSPs that have invested in their publisher relationships and are offering value in terms of yield management from companies such as Magnite, Pubmatic and Index Exchange. As with any maturing market, as it becomes more efficient, the companies that succeed will be the ones that provide clear value and differentiate themselves to customers.  As I said, we are launching OpenPath in partnership with some of the world’s leading journalistic outlets. They have been incredibly enthusiastic about this initiative. Hopefully you saw some of the press coverage yesterday, but just to quote a couple of them. Conde Nast said, we are pleased to be working with The Trade Desk on OpenPath to enable deeper conversations with our clients about inventory transparency and performance. The Washington Post said, we have long believed that a more streamlined supply chain benefits both advertisers and publishers. And McClatchy said OpenPath aligns with our objective to build a transparent, well-lit digital ad environment, driven by journalism that strengthens the communities we serve. Those are just a few, but I could not be more excited about the early momentum for OpenPath. Of course, another area I'm especially excited about for 2022 is the progress the industry is making with UID2. More major publishers around the world are committing to UID2, and more advertisers are transacting on UID2 on our platform. KG Media, Indonesia's biggest media network, is the latest publisher in Asia to announce its support of UID2. KG boasts an extensive portfolio of publishing properties including newspapers, TV networks, and retail. They believe that UID2 is not just a replacement but a significant upgrade to cookies as a common currency of the open internet, creating a better experience for both consumers and advertisers. That was certainly the experience for CoCoVillage, a manufacturer and retailer of high-end children’s toys and furniture, servicing the North American market. They wanted to secure an easy way to leverage their valuable first party CRM data to find new audiences for their products. Working with UID2 they were able to model new potential customer groups, drive incremental reach of almost 40%, and a return-on-ad-spend of more than a 1000%. Additionally, we believe many of the same publishers that are signing up for OpenPath will also sign up for UID2. We expect that these two products, which both improve the Open Internet, and will help to increase the adoption of the other. In addition to publishers and advertisers who are adopting UID2, important industry trade groups are also weighing in with their support. Perhaps one of the most important groups is the MMA, because they represent the voice of the brand marketer, and their board comprises many of the world’s leading CMOs. I was invited to join their board last year, precisely because brand marketers want to be fully engaged in new approaches to identity and measurement. The MMA views UID2 as a solution that can solve for the identity needs of the open internet. To quote their CEO, Greg Stuart, directly: "identity is the key to the future of marketing, and especially important to marketers in taking full advantage of the larger reach and need for transparency to consumer consent that the open web affords. UID2 has a great potential to be a solution that the whole industry can work on collectively to craft a compliant and effective identity solution for everyone. To finish, let me just summarize why I’m so bullish about 2022 and our future. More than ever, the biggest brands in the world appreciate the value of data driven advertising, and increasingly they are embracing our platform. I’ve spent time today talking about some of the more compelling recent drivers of that growing interest. And over the years, we have built trust with those advertisers and their agencies that we can deliver premium value to their campaigns. This business model is key in generating alpha in revenue and market share growth. We continue to have a customer retention rate over 95%. Our engineering teams continue to lead the industry in innovation, charting new value opportunities for our advertisers. As a result, we are one of a few high-growth technology companies that consistently generates strong adjusted EBITDA and free cash flow. Our profitability and positive cash generation allow us to make the long-term investments that will ensure we can continue to provide that premium value that includes Solimar, which is creating new value for advertisers by unleashing data and driving a greater return-on-ad-spend, spinning the flywheel for advertisers’ campaigns. It’s driving our leadership in CTV, the fastest-growing channel in digital advertising, and a driver of new thinking across the marketing spectrum. It positions us to make the supply chain that is more efficient for our advertisers and agencies in 2022, with initiatives like OpenPath. It enables us to do pioneer work in shopper marketing, a $100 billion market. You’ll see us forge partnerships with major retailers worldwide, including Walgreens. Just yesterday, they announced that advertisers will be able to leverage new audience data services on our platform, based on anonymized Walgreens' shopper data. It has allowed us to become a leader in political advertising. 2022 will be an important midterm election year in the United States. We have spent years building an objective and independent platform, open to registered candidates on all sides, that can help drive discussions of substance in the political arena. In 2022 we will make meaningful progress with partners and industry bodies to make measurement better, especially for CTV and all digital spend outside of the U.S. Profitability and free cash flow will also allow us to invest for global growth. Roughly two-thirds of global advertising spend is outside the U.S. This is a major focus for us. Once again, we saw strong growth in our international markets in the fourth quarter, driven by CTV. In fact, our CTV share of spend more than doubled in Europe in the quarter. And we continue to open promising new markets, such as Taiwan, India, Italy and the Nordics, with impressive leaders who are making very rapid inroads. We are a global company and we expect our international revenue to outpace North America over the long-term because of the investments we’re making in these markets. We are very well positioned for 2022 and beyond. Our business has many growth drivers, as we’ve discussed today. And what I’m most excited about is the shift we’re seeing among more and more senior brand marketers. In a variety of dimensions, marketers are becoming more familiar and enthusiastic about programmatic advertising. Whether it’s the performance value of Solimar, the holy grail of retail data, the CTV revolution, or new supply path models, they understand the power of data-driven advertising to help them differentiate and drive growth in their businesses. And that’s the most rewarding thing of all. I could not be more excited about the opportunity in front of us and our growth prospects into 2022 and beyond. And with that, I’ll pass the baton to Blake, who will give you more color on the quarter.
Blake Grayson: Thank you Jeff, and good morning everyone. We delivered strong results in the fourth quarter, capping off a great year for our business. Q4 revenue was $396 million, a 24% increase from a year ago. Excluding political spend related to the U.S. elections which represented a high-single digit percentage share of our business in Q4 of 2020, revenue increased approximately 36% year-over-year. That represented a slight acceleration from the prior year which is impressive considering we experienced a strong recovery at the end of 2020. For 2021, we ended the year with almost $6.2 billion in spend on our platform and nearly $1.2 billion in revenue, representing 43% year-over-year revenue growth. We also ended the year with adjusted EBITDA of just over $500 million and generated nearly $320 million in free cash flow in 2021. We are enthusiastic that the combination of our business strategy -- of being the default DSP for the open internet where we only represent the buy-side and avoid conflicts too often prevalent in our industry by those who own inventory, along with a proven business model that generates strong adjusted EBITDA and free cash flow, is producing solid and consistent growth, as we continue our progression towards a total addressable market of around $1 trillion. We have been encouraged to see advertisers accelerate their shift to data-driven advertising in 2021. Our results reflect the ongoing strength of programmatic advertising and the value that The Trade Desk provides thousands of agencies and brands as they work to connect with their customers across our platform every day. For both the quarter and the full-year, Connected TV continued to be our fastest growing channel at scale around the world. As Jeff mentioned, Solimar is now over 50% adoption and we are seeing promising results as customers, on average, are utilizing Solimar to leverage more data elements than they did previously. In Q4, our partnership with Walmart officially kicked off, UID2 had significant momentum and as we have consistently stated, we have seen no material impact on our business from the iOS platform changes in 2021. In addition to the strong top-line performance in Q4, we generated $192 million in adjusted EBITDA, or about 48% of revenue. When we outperform on the top-line, we often see that outperformance drop down to EBITDA, which it did again in Q4. EBITDA continued to benefit from temporarily lower than expected operating expense growth partly driven by the continued virtual environment that we are still predominantly operating in. Even recognizing that, we are extremely proud of our continued ability to substantially grow our top-line revenue while also producing meaningfully positive EBITDA. From a scaled channel perspective, CTV, by a wide margin, led our growth again during the quarter. For Q4, Video, which includes CTV and mobile each represented the largest percent share of spend. Display, which also grew very nicely in Q4, and audio ended the year representing about 15% and 5% of our business, respectively. Geographically, North America represented 86% and International represented 14% of our business for the quarter. Shanghai and Hong Kong drove spend growth in Northern APAC and Australia and Singapore led our growth in Southern APAC. In terms of EMEA, our London and Paris offices led the way. CTV growth across EMEA was again quite strong in Q4, and still represents a fraction of the share of spend we see in North America. In terms of the verticals that represent at least 1% of our spend, nearly all of them exhibited healthy growth during the quarter. Shopping, which includes ecommerce, Hobbies & Interest, and business were the strongest performers in Q4. We believe there is still the potential for share gain and improvement in most of our verticals. The Law & Politics vertical decelerated materially year-over-year in Q4, as expected, due to the comparison against the 2020 U.S. election cycle. Operating expenses were $421 million in Q4, up 97% from a year ago. As expected, the growth in operating expenses during the quarter was driven primarily by stock-based compensation, specifically $158 million in stock-based compensation expense related to a long-term CEO performance award that was recorded in G&A expense. The $158 million expense included a tranche of the grant that accelerated based on stock price achievement and relative benchmark performance thresholds during Q4. In Q4, excluding stock-based compensation, operating expenses were $216 million, up 23% year-over-year. For the full year, we gained significant operating leverage in both our platform operations and G&A areas as we scaled the business and improved our efficiency. Income tax was a benefit of $35 million in the quarter mainly due to the tax benefits associated with employee stock-based awards, the timing of which can be variable. Adjusted net income for the quarter was $208 million or $0.42 per fully diluted share. Net cash provided by operating activities was $163 million and free cash flow was $151 million in Q4. The strong cash generation during the quarter was driven predominantly by our operating results. I would like to remind you that the timing of cash collections and payments can significantly impact cash from operating activities and free cash flow results on a quarterly basis. DSOs exiting Q4 were 107 days, down 14 days from a year ago. DPOs were 91 days, down 10 days from a year ago. We exited Q4 with a strong cash and liquidity position. Our balance sheet had $959 million in cash, cash equivalents and short-term investments at the end of the quarter. We have no debt on the balance sheet. Turning now to our outlook. The year has started out strong and we estimate Q1 revenue to be at least $303 million which would represent growth of 38% on a year-over-year basis which is a slight acceleration over the prior year. We estimate adjusted EBITDA to be approximately $91 million in Q1. Turning now to expenses. In 2022, we anticipate our stock-based compensation to rise from our normal run-rate. This is being driven by approximately $265 million of stock-based compensation expense we expect to include in 2022 related to the long-term CEO performance award. At the end of 2021, the performance award had $661 million in unrecognized stock-based compensation, which is expected to be included in our G&A expense over approximately four years but could be accelerated if the threshold criteria is met earlier than expected. The total amount expensed is unrelated to whether any of the performance award thresholds are ever met. Only shares that have met the threshold criteria outlined in the performance plan are factored into our total shares outstanding. Excluding the performance grant, for 2022, we expect total operating expense growth to increase on a year-over-year basis. Considering our ability to generate strong EBITDA and cash flow, we see significant opportunities to invest in our business with a massive available market in front of us that can generate long term growth, such as the generational shift to connected TV, the expanding retail data opportunity and the expectation that our international operations will grow faster than North America over the long-term. To help take advantage of those opportunities, we expect to increase our rate of hiring over pandemic affected periods and will do so in a competitive hiring market. We also expect that return-to-work expenses will begin to revert to pre-pandemic levels, including live events, travel and other related activities. Understanding all of that, we do expect the operating expense structure of the company to be better than it was prior to the pandemic, and over the long term expect Sales & Marketing and Technology & Development areas to represent a larger share of our investment. We are proud of the fact that we are one of a few high-growth technology companies that can consistently generate strong adjusted EBITDA and free cash flow. We expect 2022 capital expenditures and capitalized software investments to be at least $75 million. We expect data center and infrastructure spend to drive the majority of the growth year-over-year and represent a larger share of our expenditures relative to office facilities compared to the prior year. And finally, with regards to tax -- absent any changes to U.S. tax laws, we expect our full-year 2022 tax rate to be about 25%. This is obviously impacted by any tax benefits associated with employee stock-based awards, the timing of which can be variable. In closing, we are pleased with the momentum of our business and the strong start to the year. We are highly optimistic about the long-term prospects for our business in 2022 and beyond. With large growth drivers such as CTV, our international business, our retail data opportunity that just kicked off in Q4 with the Walmart DSP, the 2022 mid-term elections in the US, and our recent platform upgrade in Solimar, I believe we have significant opportunities to grow our business. In addition, we are in a position to drive not only long-term growth but also to scale our business efficiently and continue to improve in the years to come. That concludes our prepared remarks. And with that, operator, let's open up the call for questions
Operator: Certainly. Ladies and gentlemen the floor is now open for questions. [Operator Instructions]. Your first question is coming from Shyam Patil from Susquehanna. Your line is live.
Shyam Patil: Hey guys, congrats on the fourth quarter results and the strong outlook. I've got one question, Jeff. There's some news out this morning. I was hoping you comment on, just curious for your initial thoughts on the Android News. And just what kind of impact you see for The Trade Desk and the industry? Thank you.
Jeff Green: You bet. Well, first of all, thanks, Shyam for the kind words, I'm incredibly proud of the team. I'm proud of what we accomplished in 2021 and especially just an amazingly strong finish in Q4. And then I'm just equally encouraged by the momentum so far this year. So I just want to really underline that, because I do think that there's a lot of discussion, including much of my morning was just reading about Google's announcement. And I will just say, I'm incredibly encouraged by the way this is rolling out. So first, I don't believe that this will have a negative impact on our business. And I think it has a good chance of having a positive impact on our business. And so in order to understand that though, of course, you just have to acknowledge that Google is getting hit from all sides as it relates to antitrust scrutiny, as well as privacy scrutiny. So this move by Google is not a surprise, it's not like Android could just sit around and be the only platform not to pull back on implicit data sharing. But they created an amazing transition period, which I think is very good for the industry. And something that just they've learned from, I would say Apple's mistake on this. And the rhetoric is really focused on improving the Internet. And a lot of things that they're saying now are different than things that they've said in the past. So from our perspective, we say bring on the explicit opt in future. When the UID is present, and we get an opt in, great. And when we don't, we'll do modeling, and we're going to be fine, no matter what. I'll also just note that Google has recently of course, tested FLoC and topics, and neither have gone very well. And they haven't been very received very well in the antitrust discussions in particular, but also in especially FLoC's case, in the privacy discussions. So I'm really encouraged by Google pressing the point that they are committed to treating themselves equally as for their agreements with regulators. In other words, foundationally, Google needs targeted advertising. And as a result, that makes them a good partner of ours in this fight to just get things right between that balance of the quid pro quo of the Internet. As it relates to mobile specifically, mobile device IDs are of course, relevant to in app advertising. But that isn't all of mobile. So just important note there. And then, Facebook and others have to monetize every impression and most of those impressions are mobile, but we look at all the ad opportunities and choose the ones that are best. So I always use an example, it's not uncommon for a Fortune 500 company to be looking at $10 million to PSVR platform, and then they select the 1,250 that are the best for them. If that denominator changes a little bit, if it moves from $11 million to $10 million, then they just choose a different set of impressions. But I've used that before. In this case, that isn't actually the right way to think about this one, we're actually still getting the $11 million QPS, they're just slightly less appealing, because of perhaps less metadata. So we're still going to get to choose and it doesn't really change our value proposition at all, it does perhaps shift some dollars to impression that just have more metadata, most notably into CTV. But if I'm Google, and I just want to encourage everybody to think about this for a second, and I have to respond to all of these pressures from all these different areas. I actually want to see things like UID 2 succeed but I'm under way too much scrutiny to endorse it or especially to propose it myself, but I want to see it succeed. So in other words, I can't carry the ball, but I can block. To me what they did today is they are blocking. This is an amazing setup for UID 2, and it makes CTV advertising even more appealing. Everything at CTV has a login. And that login is controlled by the content owners. And those content owners none of them have a monopoly and none of them own a sizable OHS. So the login makes personalization up to the content owners. Lastly, related to this, Apple is doing more and more non-ad personalization using their Apple ID. I think this is indicative of the future. It's an opt-in future with clear consent to provide personalization perpetuating the very amazing quid pro quo of the Open Internet and to me that sounds a lot like what we've been after from the very beginning. So, like we said, bring on the explicit opt-in future.
Operator: Thank you. Your next question is coming from Vasily Karasyov from Cannonball Research. Your line is live.
Vasily Karasyov: Thank you very much. Jeff, I wanted to follow-up on your comments on shopper marketing. So can you give us more details about how Walmart launch went in Q4, and the way your relationship with Walmart is going this year and maybe in the future, and also Walgreens announcement yesterday, how different is that from what you're doing with Walmart? And are you talking to other retailers and if you are, what kind of pushback or gating factors are you seeing there?
Jeff Green: You bet, thanks Vasily. So first, Walmart has been a fantastic partner. We're working very closely to just pioneer new thinking about retailer and brand relationships, and of course, shopper marketing and retail data. As you know, we launched in Q4, it was really a test phase, where we had roughly 20 large brands that were running on a Walmart DSP, of course powered on our platform. We are continuing to just partner with more and more retailers. Most notably, we just announced yesterday, our partnership with Walgreens, where they are launching their own self service and cleanroom solutions on our platform. So I want to emphasize the shopper marketing TAM is at least $100 billion. A lot of discussion about antitrust these days and I don't think there's much antitrust reasoning to be in retail because of how fragmented and how many opportunities there are in that space. Of course, we're talking to many of them. And it's just a reminder, of really what closing the loop, the value of that sort of Holy Grail of retail data is about closing the loop.  So we read a lot about just measurement being affected in Facebook's earnings. But that is very different in a world where you have data on at the time of conversion. And so to me, like, all the landscape changes that have happened in the last few months are just actually pointing to the need for these retail partnerships, as well as the strategies that we're seeing deployed by many of the biggest retailers in the world. So we're very encouraged by it, we expect more partnerships to come. And we expect retail and shopper marketing to continue to grow, '22 is going to be an amazing year for that growing up.
Vasily Karasyov: Thank you.
Operator: Thank you. Your next question is coming from Justin Patterson from KeyBanc. Your line is live.
Justin Patterson: Great, thank you very much. Jeff, could you please expand on why OpenPath isn't a threat to the SSPs as well as just the significance in dropping Google's Open Bidding and then for Trade Desk specifically, how should we think about the potential benefit to spend in unit economics on the platform from this type of initiative, particularly as it starts to pair up with Unified ID 2, thank you so much.
Jeff Green: You bet. So let me first start by explaining that what Open Bidding is and then I'll talk about what OpenPath is because there's two separate strategic moves that were made on the same day. So earlier this week, we announced that we were doing these two things, the first of which was that we were no longer going to bid or participate in Open Bidding, or Google's alternative to header bidding. Many of you who've been involved with us for a while, remember that the advent of header bidding was one of the best things that ever happened to us as a company. And one of the best things that happened to the Open Internet. What header bidding did is it made the market more competitive and it took the publisher decisioning, of which ad to show away from Google and put it into this open source header technology. It's called header bidding, because it's code that just gets placed in the header tag of a webpage. But Google created OB as a response to it. And it definitely had a positive effect for Google. But we don't believe that it created a level playing field certainly favored some part over others. If you read that Texas Attorney General's complaint, and you read about Jedi Blue and some of the allegations there, those are all related to Open Bidding. So naturally, we wanted to turn that off knowing that nearly every publisher in there has another path to that inventory. So we don't lose out on any of the inventory, we just bias towards paths that are a little bit more transparent, and more fair, which we think is good for our advertisers and good for everybody else. So the only people that it's not good for those that were benefiting unfairly or wouldn't compete and wouldn't be able to compete in a fair marketplace. So, as a result, we also decided to launch OpenPath, which basically gives publishers the ability to integrate with us directly. Now I just want to be emphatically clear here. This is not us getting into the SSP business, at the core of SSP is providing yield management, trying to give publishers the highest yield possible. And they typically are trying to manage a large chunk of their inventory. Instead, what we're doing is we're enabling them to integrate with us directly. So in the cases where we want to bid, they will get that bid directly to them. And then they can compare that to their other sources of demand, so that they can do their own yield management, we expect this will often be the case with very large publishers. And we think this will have a very positive effect on the state of the supply chain, in both CTV and especially in journalism. We wanted to start with journalism, because that was the one most affected by header bidding for the positive and in some ways, most negatively affected by all the changes that have happened in the supply chain and the fight that's happening over identity. Meanwhile, there's all of these journalistic outlets that are trying to monetize as optimally as possible. And with all these feuds over identity, including many of which that are dependent on mobile apps, they need high CPM to just stay in business. So we're so excited that what this represents at launch is 70% of the newspaper readership in the United States, between Reuters, Washington Post's, USA Today, Hearst, Conde Nast, Tribune, and just many, many others. We think this represents just a huge lifeline to the journalistic community. I do want to just underline one more time, there is nothing more important to us than preserving our objectivity. That means that we're in this for the buyer, we're representing advertisers and agencies in the decisions that we make that will continue. We're just willing to transmit that bid directly to the content owner when it's possible, and when they want that. And as a result, we think that creates a more effective supply chain, and gives more momentum to the Open Internet that is largely being fueled by Connected TV.
Operator: Thank you. Your next question is coming from Tim Nollen from Macquarie. Your line is live.
Tim Nollen: Thanks very much. I'd like to turn back to the CTV topic, if I could, Jeff. You mentioned the upfront markets coming up and your role in the digital upfront, wonder if you could talk a bit more about maybe the upfront in general, I think it's not just digital and sort of what you're doing with the network groups and the agencies in that process. Relatedly, could you address the availability of ad impressions in CTV, which I guess fluctuated over the years from being in short supply to being more plentiful? Maybe what is the current state overall, and within all of these OTT services that you're servicing? And then lastly, if I could just talk one in relatedly, as well, you mentioned measurement for CTV, any more color you could give us on your efforts in helping measure CTV more effectively would be great. Thanks.
Jeff Green: You bet, so first I'll just say I've never been more bullish on CTV than we are right now. And that's in large part because of all of our partnerships with the content owners. And again, just as we've integrated it with them directly more and more as time has gone on. And as we've seen them grow as we've seen them test AVOD, SVOD and hybrid models, we're seeing more and more of move towards AVOD. And that that speaks to your, I think the third part of your question, which is about what's happening to inventory. It started out that most of us that are consuming and I'm speaking as a consumer per minute, most of us did our consumption on Amazon and Netflix SVOD offerings. And then over time, we were introduced to things like Hulu and now so many others that are AVOD or hybrid, like in Hulu's case. And as we've learned from so many of them, it's often a better way for them to monetize, to be an AVOD company. And it also is what the consumer typically prefers as in Hulu's case, 80% of consumers prefer the ads. Now, some of that has been a phenomenon for many years. But that predates what I'll describe as what is now peaking, which is subscription fatigue. So that was true at Hulu many years ago, it's still it's even more true today because of course, there's more subscriptions, it takes more work to figure out where to watch, what you want to watch for the average American household to be paying for 15 subscriptions, instead of two or three that they were a few years ago, the cost is prohibitive. So in AVOD and now all of those companies are graded on subscribers, how many subscribers do they get, and just some pretty impressive numbers across the board. And just from many of them as we watched, how they recorded on their last year. But in order for them to keep those subscribers, they have to make it affordable. So we expect to see more and more of them adopting advertising, they need that to be relevant, so that they show a fewer ads that are more relevant to the user, so that they keep an amazing experience for the consumer. But then the consumer can also afford it. So I believe strongly. Excuse me, that's the most promising part of our future is in CTV because of those market dynamics. Now, the last part of your question about upfront. Basically, for those of you that are unaware of upfront process, what used to happen is everybody would come together at certain seasons of the year to buy all the ads on an upfront basis. And you would try to bet on the shows that you thought were going to be successful. And the model was really built before there was anything digital and when there weren't that many content companies. But nevertheless, there is still this desire to go to an event or an upfront schedule, and get some sense of plan for the rest of the year and get some sense of inventory and to make commitments, where sometimes big advertisers can use their size to get a better deal, if you will. And then publishers are willing to trade that better deal for assurances that they're going to get spent. But what's increasingly brought into the equation is the need for audience and data. And that's not really conducive to just signing an insertion order or contract that sells all the inventory to one company, you need to put your audience data to work, you need real time decisioning, you don't really know who's going to be watching, what the characteristics are. And so as a result, more and more of those upfront discussions are bringing us into the middle between those two entities, so that we can enable better decisioning and higher CPMs for the publisher, and of course, better decisions for the advertisers. So we're very encouraged by the invitation to the upfronts by the type of deals that are being struck, and by how often audience and full data decisioning is now being brought into upfront discussions, which we believe are going to transform the upfronts in years, over the next few years. But that's all good news for us. That's good news for decisioning. That's good news for CPM. That's good news for the TV landscape, which is getting more and more competitive and gravitating more and more towards AVOD.
Chris Toth: Thanks, Tim.
Operator: Thank you. Your next question is coming from Youssef Squali from Truist Securities. Your line is live.
Youssef Squali: Thank you very much, Jeff, congrats on the consistent performance. Two questions, please, for Unified ID 2.0, you're clearly getting a lot of adoption within agencies, within streaming media networks, et cetera. Can you maybe speak to adoption within the large advertiser base, maybe anything to share in terms of adoption within the Top 100, can you give maybe examples of how they're actually using it and on Solimar, thanks for the some of the metrics you shared, but can you maybe share some additional color on any learnings from the upgrade in terms of the customer experience, and maybe the lift in spend relative to either the previous platform you had or even relative to your expectations? Thanks.
Jeff Green: You bet. So first of all, thanks for the question. Excited to talk on both of these topics. So first, I was prepared to answer a question like this by saying something like, as I look back on last year, I don't think the momentum could have been any better. But now that I look at today's announcements from Google, I expect this to help our momentum. So when I say momentum couldn't have been any better. Given all the macro environment, it couldn't have been any better than but it's going to be even better now. So, our January avails with UID's presence reached an all time high in January, we continue to grow rapidly outside the United States. And we're just partnering all over the place with those that create infrastructure for the Internet. So many people don't, I think properly understand or value, the partnerships that we have, when we partner with companies like LiveRamp or a Snowflake that are providing infrastructure for the Internet. Many of the largest advertisers on our platform are now transacting a UID, or in the process of implementing Solimar does make that much, much easier to implement and OpenPath will have a huge impact on just accelerating UID as well, because as we integrate directly with many of the publishers, of course, the SDK will include both capabilities and some amount of encouragement that to of course implement UID so that we can provide more data driven advertising that provides higher CPMs. We're seeing significant increases around the world, maybe most notably in APAC, but the numbers are just very impressive. At this point, we're on over billions of devices. So with the footprint that we have today, we're incredibly encouraged. And then with these sort of other external pressures on other players, and the discussion on privacy and antitrust, those are actually creating secular tailwinds for UID 2.0, as it relates to Solimar, amazing attraction as well, I had hoped that we would have the majority of our impressions on it by this quarter, or at least by the end of this quarter. We did it last quarter, so now over 50% of impressions are bought on Solimar. We expect over 100% by the end of the year. And I think that could even come sooner if things go really well. But we are looking at 100% of impressions bought on our new product are on Solimar before the end of this year. So pretty amazing transition, given we just launched that on 7/7. But that's great. And it makes it so that we have a better user experience. And we think that we have more stickiness because that experience is also just much easier for people to use and make decisions. But it also is driving more data usage where that's the number of data elements applied to each impressions more than doubled. There's more usage of Koa, which is our AI and ML where adoptions now over 90%, average number of channels has increased by 50%. So channels being things like mobile, display, CTV, video, audio, so when you see that increased by 50%, what you're seeing is people being holistic in the way that they're buying, and for the first time ever we're doing I think unprecedented work and comparing apples to oranges in the media landscape. And then just seeing a massive increase in first-party data usage. And that has encouraged as well as enabled by UID as well. So I expect Solimar to have a positive impact on UID, which was already going incredibly well. I expect OpenPath to have a positive impact and I expect Google's recent announcements also have a positive impact on UID 2.0. So really, both of those things are some of the brightest spots of our 2022 ahead.
Youssef Squali: Thank you, Jeff.
Operator: Thank you. Your next question is coming from Laura Martin from Needham. Your line is live.
Laura Martin: Good morning. Can you hear me okay, Jeff?
Jeff Green: We can, how are you, Laura?
Laura Martin: Hi, I'm great, Jeff. Thanks. So the question I've gotten more frequently this morning after you guys reported earnings for CTV. So you said a couple of times that CTV is growing faster and driving your growth, so the question then becomes, you grew your total year revenue at 42%. But the fourth quarter 24%, does that mean that CTV growth essentially had and any kind of metrics you can give us and how big is CTV today as a percent of your total revenue. Any kind of clarity you can give us about CTV size and momentum and whether it's flowing, love that, second business model housekeeping item, very excited about the data marketplace, you talked about a lot today. My question is, do you have a rev share like Android does the data that's bought on your platform or you just getting more spend on your platform? And that's how you're making more money from implementing that data marketplace? Thanks, Jeff.
Jeff Green: You bet. And I'll take first crack at the both questions and then if Chris or Blake want to add anything on the numbers, we don't break out any of our channels specifically as a total, I will say that CTV is definitely growing faster than the rest of our business. And I do believe CTV growth is leading the way, there's some unique things about comps and whatnot that I think they can talk about, but I don't think that's indicative of the growth of our business or the growth of CTV. So I'm not certain that that comparison gives you any insight into the business or CTV specifically. As it relates to the business model on our data marketplace, we do make money on the data that gets purchased. So it's not just about creating spend in media, we make money on all forms of spend meaning whether they buy media or whether they buy data. So we are incentivized to get data to be used more often. But of course, what we do is create models so that we never use the data and left, it is mathematically obvious to create benefit for the advertiser. And so what that has enabled is us to constantly be doing work to make certain that we're adding more value than we're extracting. That's actually one of the reasons why I'm so bullish about the changes that we've made to the data marketplace is there, we are creating way more value for the advertiser. Now on unit economics, we don't expect that to change. So in other words, I don't expect our take rate to meaningfully change in either direction, positive or negative as a result of this, but I do expect the flywheel to spin faster. We do make money on data however. So we're encouraged to either put it towards working media or put it toward data, but we better earn our keep, which is exactly what our clients want from us. The fact that we're using more data just means that we're using that data in an intelligent way to make certain that the incremental usage is worth it to the advertiser. The fact that's working across the board, I think is actually separating that from the path with everybody else, in part because we have that objectivity and alignment with the advertisers.
Blake Grayson: And then Laura, I will just move on really quickly on top of Jeff, I think when you think about this, from a comparison perspective, the Q4 results of the 24% revenue growth, they're comparing against our hardest comp from last year because of the U.S. Election, which was a high single digit share of our spend. So when you exclude that Election spend, Q4 actually accelerated year-on-year from 34%, up to 36% in Q4 '21. So really encouraged by that because Q4 of 2020 also besides the Election comp, we had a kind of a pretty big flash recovery that came out in Q4. So we're pretty excited about that. And then with regards to the kind of wait for the next video, including CTV in mobile, each represent around 40% share of the business and then display and audio represent about 15% and 5% each, so that should give you some idea of that mix going to work.
Chris Toth: Thanks, Laura.
Operator: Thank you. Your next question is coming from Tom White from D.A. Davidson. Your line is live.
Tom White: Great, guys. Thanks for taking my question and nice results. Just on the OpenPath announcement, can you just elaborate, maybe a bit more on the future of that strategy? For example, does it you see it going beyond just the web and maybe into other channels like mobile or CTV, and then maybe for Blake, maybe comment on the impact to your financial from the strategy over time, just curious about how we should think about maybe savings on infrastructure costs, and maybe possible revenue capture from the publishers that participate? Thanks.
Jeff Green: Yes, so as it relates to OpenPath, we definitely see this as extensible into CTV, which we've already indicated will happen, but also potentially into mobile. So I think increasingly, publishers are interested in cleaning up the supply path. Increasingly, advertisers are interested in cleaning up the supply path. And we've always looked at it as we have to earn our keep, and everybody in the supply path does. And we just want to make it so that the market can be as efficient as possible because the Open Internet in order to compete with the Walled Garden strategy has to be operating efficiently. That requires a bit more moving parts. But that's a better global economy. That's a better ecosystem, that's a better internet for the world. And in order for us to enable that, we think we have to continue to enable direct integration when content owners and publishers want to do their own yield management. I think it's really important that you highlighted CTV because nowhere is a more true that content owners want to do their own yield management than in CTV. But I do want to underline that we are not trying to become an SSP. We are not getting into yield management, that is a job of an SSP, or in the case for content owners want to do it themselves. It's of course their job. But that's something that we believe in order to protect our objectivity, we should stay out of which we expect to do as far as we can see in the future.
Blake Grayson: And just to follow on and even try to be more clear. We expect no material impact to P&L or take rate from this like just said, like, there's opportunities to spin the flywheel that we're excited about. And in the support of the open Internet. We don't have any incentive to steer purchases, and we're not doing yield management. It's -- we continue to represent the buy side in what we do. And so no material impact on the P&L side.
Tom White: Thanks.
Operator: Thank you. Your next question is coming from Brent Thill from Jefferies. Your line is live.
Brent Thill: Jeff, everyone would love to hear your perspective on the international opportunity. I know you've put a lot of investment in time in trying to crack the code there. What's your view there? And for Blake, can you maybe just talk about the magnitude of Q4 upside was a little bit lower than we've seen? Was there anything on supply chain or advertisers pulling a little bit at the end of the quarter? Given the COVID overhang or any thoughts you have on that side? Thanks.
Jeff Green: Thank you. Yes, I'm very excited about the international prospects. So I'm always -- I start macro, which is, we're a few years away from being at that trillion dollar Tam, and roughly 60% plus to that is outside of the United States or outside of North America. So, of course, we want to capture that opportunity. And because we work with the biggest brands in the world, who advertise all over the world, they don't want 200 DSPs as partners, they would like one, to take them all over the world and especially to use their learnings in any market to benefit all the other markets. And so, as of course, our focus has been on expanding CTV all over the world. CTV more than doubled across APAC, CTV and EMEA grew by more than Forex in 2021. Shanghai and Hong Kong have been driving our growth in Northern Asia Pacific. And just some amazing partnerships across APAC with Samsung Smart TV devices now reaching over 50 million viewers and that's having access there. Xiaomi in India or Disney+ Hotstar in India. Again, China was our fastest growing office again, which when the numbers are small, that's less significant, but when you do it over and over again, it continues to be it especially significant, especially when you look at China and just say that's the second largest media market in the world, it's roughly half the size of the U.S., but it's growing at twice the pace. So with that being true. We think that represents a tremendous opportunity. And we're in a unique position to many others who are looking at that market in that we are representing the largest brands in the world who wants to spend in China. So unlike many other non-China based companies, who've been hurt by trying to go into market in China, we come to the market, mostly with a focus spend in market. And then to do expansion where Chinese brands and products will reach all over the rest of the world, which of course, they want more distribution. So I'm very encouraged by the fact that, that we've seen all this growth in those in those areas. But I can't underscore enough how important it is for us to continue to lead in CTV, we believe we've done that in the U.S. And we've proved that in the U.S. and Australia, arguably years ago in 2020. In 2021, I think we started to show amazing green shoots across other markets in EMEA, most notably in the U.K. and Germany. So with all of the progress of CTV around the world, and the pressure on content owners, that is sometimes slightly different than other markets. But the general trend that is happening in the U.S. is happening there too, just with slightly less content. But that makes a bot even more valuable in some way that makes the add more scares. But it makes auction dynamics, and real time pricing even more valuable for those markets, which we think time just lends to our business model. So we expect to continue to lead in CTV around the world.
Blake Grayson: And then the following up on your Q4 question. The quarter was fundamentally really strong. We have the hardest comp, that in a long time in Q4, compared against Q4 at '20. Not just because of the elections, but also because we have that ramp back at a COVID. That was really a real accelerator for us in 2020. So thinking about those issues, I think that the Q4 look really good. I know supply chain, issues to call out at all. I think you know, another data point is that you just look at a two year simple stack on growth rates in q4, just the year over year 20. And 21. Q4 was faster than the full-year for us. And so just goes to the strength and the momentum that we've seen in that, we've now kind of disclose now in our guidance. So we're really excited about.
Brent Thill: Thanks.
Operator: Thank you. Our final question comes from Matt Swanson at RBC. Your line is live.
Matt Swanson: All right. Thank you guys so much for squeezing me in here. I'll ask too quickly, but first for Jeff, thinking about ramp time for shopper data. And kind of in two ways. One as far as how long it takes a partnership like what we're seeing with Walgreens to come together. And then also on the Walmart side, the milestones, you're thinking of how that's going to ramp over time. Recognize it early. And then for Blake Q1 guidance is really strong the 38% growth, even accelerating off the adjusted 36%. I guess the two things be one, you mentioned a really strong start to the year if you want to elaborate on that. And then is there anything from a seasonality standpoint, when we're trying to maybe make an inference to a full-year number that you would point out as being different or special in 2022? Thank you.
Jeff Green: First of all, thanks for the question, Matt. So the patient ramp up in shopper marketing data or retail data that is largely dependent on the strategy that we deployed. And of course, we agree on with the retailer, and then their ability to move fast. So it often takes some time because winning hearts and minds and then trying to be very strategic. And everybody is extremely sensitive about privacy today. So they're all doing lots of work to just make certain that they're respecting consumer privacy. One thing I just want to highlight on this point is that, especially brands, especially advertisers, who are in the business of creating long-term relationships with consumers, they don't want to piss off consumers. They don't want them to be upset with them. And so as a result, they're trying to make very deliberate choices, so that they can provide the very best to consumers. That of course, is bringing them personalization, while of course at the same time respecting privacy. In order to set up those structures and then also to create the right economics can be very different from partner-to-partner, partly because of their agility. But also, because there's a whole bunch of different ways to deploy that, that insight. It all, I think it at end days looks very similar, which is, people are trying to leverage their data so that every advertiser is optimizing to selling products in that store, whether it's Walmart, or Walgreens, or those that are next. And that is very good for the retailer. And that is providing end-to-end measurement that is more difficult to find in other environments, especially the walled gardens, where they're doing sort of measurement on their own without validation. So that holy grail of end to end measurement is coming from many retailers and the pace at which that is on boarded up to that.
Blake Grayson: And then roof regards to your Q1 question, Matt. Yes, strong start to the year. It's broad based, I don't have anything unique to call out with regards to any single area to highlight. I think that it's just momentum we've seen in January that has continued in the, early part of February so far. And just the many positive trends for this business, which, you know, you hear us speak to a lot or just tend to continue, which is, CTV is leading the way we have exciting international opportunities, the shopper marketing opportunity as well. You've heard about Solimar ramping and UID scaling. And so just all those tailwinds, I think, you know, drove us essentially to that to that guide on the 38% year-over-year growth, which does represent the acceleration that you call that from prior year. With regards to your seasonality question, assuming no major disruptions, like related to the macroenvironment. So if that's COVID or if something from supply chain were to kind of be activated. It's possible that this year in 2022, and then 2023 start looking a little closer to have I would say the pre-pandemic years looked in terms of seasonality patterns, but that said. Every year is a little different. So if we're a few points better or worse for that from a seasonality perspective I wouldn't recommend reading into it too much.
Jeff Green: Thanks, Matt. And thanks for everyone for joining today.
Operator: Thank you, ladies and gentlemen. This conclude today's event. You may now disconnect at this time and have a wonderful day. Thank you for your participation.